Operator: Hello, and welcome to the urban-gro 2022 Third Quarter Earnings Conference Call. As a brief reminder, all participants are currently in a listen-only mode.  Following the presentation, there will be a question-and-answer session for those on the telephone conference line. Please note that this conference call is being recorded, and a replay will be available on the company's website following the end of the call.  At this time, I'd like to turn the conference over to Dan Droller, Executive Vice President of Corporate Development and Investor Relations at urban-gro. Sir, please go ahead.
Dan Droller : Good afternoon, and thank you for joining us. Today's call will be led by Brad Nattrass, Chairman and Chief Executive Officer; and Dick Akright, Chief Financial Officer. I'd like to remind our listeners that our remarks made during this call will include discussion of non-GAAP metrics, including adjusted EBITDA and backlog. These items should not be utilized as a substitute for urban-gro's financial results prepared in accordance with GAAP. Reconciliations of our GAAP net loss to adjusted EBITDA are available in our press release and in our Form 10-Q filed with the Securities and Exchange Commission and can be accessed from the Investor Relations section of our website. On this call, we may state management's intentions, beliefs, expectations or future projections. These are forward-looking statements and involve risks and uncertainties. Forward-looking statements on this call are made pursuant to the safe harbor provisions of the federal securities laws and are based on urban-gro's current expectations, and actual results could differ materially. As a result, you should not place undue reliance on any forward-looking statements.  Some of the factors that could cause actual results to differ materially from these contemplated by such forward-looking statements are discussed in the periodic reports urban-gro files with the Securities and Exchange Commission. These documents are available in the Investors section of the company's website and on the Securities and Exchange Commission's website. We do encourage you to review these documents carefully. Lastly, a copy of our earnings press release and the webcast replay for today's call may be found on the Investor Relations section of our website that is at ir.urban-gro.com. With that, I will now turn the call over to Brad.
Brad Nattrass : Thank you, Dan. And good afternoon, everyone, and welcome. I'll begin today's call by providing an update on the state of our business, including a focus on our execution, results, market conditions and vision. This will be followed by Dick reviewing our financial results in greater detail, and then we'll open the call to your questions. While I'm pleased that we exceeded our revised guidance on both revenue and adjusted EBITDA, that should not be misconstrued as being satisfied. While our results were directly impacted by the headwinds associated with decreased capital expenditures within the cannabis sector, one of the positive aspects of our performance that our results demonstrate our sector and capability diversification strategy is paying off. This diversification strategy coupled with the strength of our Professional Services delivery model that we've been building over the last 18 months, has built our project backlog to a company record, $67 million, as of the quarter end, an increase of over $40 million on both a sequential and year-over-year basis. This is a clear indication that the model that we have built is working as intended, and I'm proud of what we've been able to accomplish amid this dynamic environment. Briefly touching on our third quarter results, we achieved revenues of $12.4 million, which is above our third quarter guidance of $10 million to $11 million. From a positive standpoint year-over-year, construction Design-Build revenue increased by $5.4 million and Professional Services revenue increased by $1.4 million, with both increases being driven by the synergies we are creating with our strategic acquisition. Offsetting this growth was the $12.6 million year-over-year decrease in cultivation equipment revenue due to pressure resulting from macroeconomic conditions and further state regulatory delays tied to the cannabis sector. As we continue to invest in both scaling our team to service 2023 demand and into expanding our European operations, adjusted EBITDA for the third quarter was negative $2.3 million, just above the high end of our guidance range of negative $2.4 million to $2.6 million.  And as it pertains to our balance sheet, entering Q4 with approximately $18.6 million of cash and no debt, it remains strong, agile and is providing us with the flexibility to continue investing in growth. Moving on. I'll now shift to our most recent acquisition, current sector trends that we're seeing and the outlook for the balance of 2022. The increasing market demand for our services in all sectors is precisely why we made the decision to acquire Dawson Van Orden or DVO, a 24-person world-class engineering firm based in Texas with considerable experience and expertise in the indoor CEA and commercial sectors.  This accretive and synergistic transaction both increases our Professional Services revenues and margins and further provides immediate cross-selling opportunities to leverage both urban-gro and DVO's existing clients and contracts. To be clear, the demand for both our Professional Services, including engineering, as well as our turnkey Design-Build solution across all sectors is strong and increasing rapidly.  As such, this acquisition allowed us to immediately add depth to our suite of services as well as a deep bench of talent and engineering leadership structure to efficiently service our clients. More specifically, this transaction adds new and enhanced expertise in the areas of mechanical, electrical, plumbing and fire safety engineering and includes the addition of an industrial architecture team that had been recruited prior from a global leading engineering procurement and construction company.  Given that our respective teams have experienced working together in joint projects prior to the close, I'm confident that we'll see a quick and smooth integration process over the next several months and be able to take advantage of the immense opportunities that lie in front of us. Furthermore, I'm excited about the opportunity to build a hub in Texas. Located in Houston, we plan to build out our office to accommodate both CEA and commercial opportunities that we have identified in the region.  Not only have we determined that there's a solid and accessible labor pool to work with, but forward looking, we expect the state to provide an influential business opportunity as cannabis legalization is considered in the future. Now shifting to our business development in the commercial sector. Not only is our success here beginning to have a positive material impact on our financial performance and is effectively beginning to bridge the cannabis sector weakness experienced, it also truly promotes the consistency and effectiveness of our well thought out and executed M&A strategy. Following the acquisition of Emerald Construction Management and in turn, the successful launch of our Design-Build division in the second quarter, we now possess the ability to add value through service levels provided within a single point of responsibility across all aspects of our clients' operations.  The launch has been successful and our pipeline of projects is strong, qualified and growing. Last month, we announced the signing of over $50 million of new Design-Build contracts in the third quarter. These contracts, which are from CEA, health care and industrial clients, including a leading global consumer packaged goods enterprise, are for the Design-Build portion of a project only and are separate from any associated Professional Services or equipment contracts that we signed. This progress demonstrates that client interest and engagement in our turnkey Design-Build capabilities has continued to gain momentum as expected and gives me great confidence that the investments we are making in the business are positioning urban-gro for sustainable and consistent global growth over the long term. Coupled with the continued integration of our recent acquisition, including 2WR, Emerald and now DVO, our combined team that now exceeds 150 employees, enables us to address a larger market and capitalize on opportunities in adjacent markets where we've collectively built decade-plus-long relationships. Our ability to penetrate these new markets with cross-selling opportunities and service a set of high-profile customers speaks well to both the end-to-end set of capabilities we have and the quality of our experienced team. Now I'll provide our outlook. For the fourth quarter, we anticipate revenues to be approximately $17 million and an adjusted EBITDA loss to be approximately negative $1.5 million. Very important to address that our adjusted EBITDA forecast is influenced by the expenses incurred to rapidly continue building out our team to meet anticipated '23 demand and our continued investment in the European operations.  We remain good stewards of our balance sheet, and we'll continue to invest in the business in ways we expect will reward our shareholders. Looking ahead to 2023, that is supported by the expanding backlog, we expect continued accelerating demand for our Professional Services and construction Design-Build solution in all sectors that we operate. Further, as a result of the anticipated cannabis sector recovery next year, we expect a material increase in our equipment sales as well. Based upon constructive client sentiment as well as our rapidly strengthening pipeline and backlog, we are seeing opportunities emerge and importantly, we will be scaled and ready to handle the demand from this rebound. Again, to be clear on my intention, while we are investing in our business, we remain focused on returning to positive cash flow as soon as possible. In closing, the model we have built is working as intended, and we expect the investments we have made and continue to make will result in strong future performance for urban-gro. We remain committed to advancing our diversification strategy to reduce exposure to sector risk, and we not only expect this to help continue insulating us in the short term, but over the long term, we believe it will position us for new and larger avenues of growth. In the quarters ahead, we'll continue to drive efficiencies in our model, build our backlog and integrate and identify cross-selling opportunities for our acquisitions, all of which is geared towards creating tangible value for our clients and shareholders. Thank you. And with that, I will now turn the call over to Dick.
Richard Akright: Thanks, Brad. Revenue was $12.4 million in the third quarter of 2022 compared to $18.3 million in the prior year period. This decrease was driven by a decrease in cultivation equipment systems revenue of $12.6 million, primarily reflecting significantly reduced equipment demand in the U.S. cannabis market because of ongoing state level regulatory delays in the license awarding process as well as the lack of movement of key industry financial support models such as the SAFE Banking Act.  This decrease was partially offset by the accretive acquisition of Emerald Construction Management in April of 2022 with a $5.4 million increase in construction Design-Build revenue as well as incremental services revenue of $1.4 million associated with the acquisition of 2WR in July of 2021. Gross profit was $2.6 million or 21% of revenue in the third quarter of 2022 compared to $4.3 million or 23% of revenue in the prior year period. This represents a decrease of $1.7 million, correlating to the decrease in revenue. The decrease in gross profit margin was driven by the lower-margin construction Design-Build revenue from the Emerald acquisition.  Operating expenses were $9.5 million in the third quarter of 2022 compared to $4.2 million in the prior year period, representing an increase of $5.3 million. Included in the third quarter operating expenses are onetime expenses, including a previously disclosed $3.3 million business development expense attributable to assisting a key enterprise client with a negative situation with an international lighting manufacturer, $0.7 million in severance expenses, and $0.2 million in nonrecurring legal and transaction costs.  The remaining increase in operating expenses was driven by increased headcount to support both current and future demand for the company's solutions and continued investment in European growth. Net loss was a negative $8.7 million or negative $0.81 per share in the third quarter of 2022 as compared to net income of $0.1 million or breakeven on a per diluted share basis in the prior year period. This loss includes the $4.2 million of onetime operating expenses outlined above as well as a $1.7 million impairment for the entirety of our Edyza investment, which was made in prior years. Adjusted EBITDA was a negative $2.3 million in the third quarter of 2022, which compares to $1 million of adjusted EBITDA in the prior year period. The decrease in adjusted EBITDA was driven by lower revenues and gross profit as well as strategic investments and operating expenses to drive growth. For the first nine months of 2022, we reported total revenue of $49.7 million compared to $43.2 million in the first nine months of 2021, representing an increase of 15%. Net loss was a negative $11.1 million compared to a net loss of negative $0.3 million and adjusted EBITDA was a negative $2.2 million compared to positive $2.1 million in the prior year comparable period. Now turning to our balance sheet. Our capital structure remains in excellent condition. We entered Q4 with $18.6 million of cash on our balance sheet and no debt, which provides us the necessary flexibility to manage through the macroeconomic market circumstances while simultaneously fueling our growth strategy, including potential additional M&A targets. Additionally, during the third quarter, we repurchased $0.2 million of urban-gro's stock at an average price per share of $2.90. Moving to reported backlog. Our total backlog as of September 30, 2022, was approximately $67 million and is up from the $22 million that we reported at the end of the second quarter of 2022. This backlog is comprised of $56 million of construction Design-Build, $6 million of Professional Services and $5 million of equipment systems contracts. While there are several variables that influence the change in backlog, the two primary factors are signed orders and revenue recognized from signed orders during a stipulated period.  Because our backlog relates to capital expenditure commitments made by our customers, the dollar amount of signed customer orders in individual periods can fluctuate materially. Revenue recognition is then dependent on delivery of these orders. That concludes our prepared remarks. Operator, please open the call for questions.
Q - Eric Des Lauriers : Hey, thanks for taking my questions. And congrats on the strong contract win this quarter. It's great to see those synergies coming in. Can you help us understand the mix between CEA and non-CEA in those contract wins? I know you mentioned some global CPG enterprises there. And then kind of on a go-forward basis, I know this is a bit of a difficult question and probably hard to answer.  But factoring in the recent acquisitions you've made, what would you say is your mix of CEA and non-CEA going forward? I mean I know it's going to fluctuate, but just any way you can help us sort of understand the diversification strategy maybe would be great. Thanks. 
Brad Nattrass : Perfect. Thank you, Eric. As far as the backlog's concerned, it's $67 million. That gives us a good idea looking forward. About 75% of that backlog is in the CEA space, and the majority of that is in cannabis, and about 25% is other.  For construction Design-Build, that's about 80% of the backlog number of $67 million. So when you look at our third quarter, the majority again is still with CEA, but it was really close to 50-50. And in the CEA space, cannabis continues to be the majority for us as well. Looking at some of -- the CPG company, for example, that we discussed, that's from a long-term decade-plus relationship with Emerald Construction Management. And the nice part about urban-gro acquiring them with the strength of our balance sheet, we were able to provide this client with a greater number of projects and also increased value of the projects. So it was definitely a great synergy.
Eric Des Lauriers : Yeah. It's really great to hear. On the M&A front, obviously, you guys recently disclosed DVO. Can you help us understand just what sort of other services, maybe bench depth, geographic diversification, might still be on your wish list? Like is there anything else out there that you're still looking for? Or do you feel that you sort of have the services, the bench and the sort of geographic reach that you're looking for? Thank you.
Brad Nattrass : Feel really good, Eric, with the reach that we have right now. There's only one part of CPA that urban-gro's not involved with today, and that is greenhouses and moreover, food-focused CEA built out in greenhouses. So that's one area that we'd look at in the future. To enter new geographies for sure, we've been investing aggressively in our European operations, adding some employees. We've relocated some employees as well over to Europe in the third quarter.  So we're strategically working with some architect firms, engineering firms in different European countries right now, but that would probably be a smart piece to look at in the future. Also in the U.S. market right now, as I've made it really clear, we have a lot of momentum. It's evidenced with the backlog right now. And we have more than 20 open positions that we're hiring. We're in full growth mode right now. Our EBITDA, as Dick alluded to, is definitely being influenced by these costs associated with hiring, whether it be the job placement cost or bringing people in to get them trained so they're ready to efficiently service our clients in Q1 and beyond. So acqui-hiring is also something that we're looking at, the ability to -- with the right model that we've done a great job creating in terms of acquiring these services companies for cash, stock and earnout. If we have the right model and we have the right talent, acqui-hiring is a great move for us. It also adds maybe some contracts that we're looking for that we don't have right now.
Operator: Thank you. Our next question comes from the line of Brian Wright with ROTH Capital. Please proceed with your question.
Brian Wright : Thanks. Congratulations on such a quick rebound. I have a kind of bigger picture kind of like taking a step back with a lot of things going on. But if you think about future M&A and then the comments with -- regarding to getting to cash flow positive, is stacked -- back to cash flow positive as soon as possible. I guess, would we think about that M&A in light of accelerating that conversion? Like you have a path right now to get back to cash flow breakeven or cash flow positive?  But if you do additional M&A that would kind of accelerate it. Is that the way to kind of think about it? Could you just, kind of big picture, how you're thinking about that dynamic.
Brad Nattrass : Well, Brian, you're absolutely right, it would, but it's not how we've been thinking about it. We've been consistent with our acquisitions, all service companies and all of them cash flow positive at time of acquisition. And therefore, it would be definitely additive and help, but that's not how we're looking at it.
Brian Wright : Okay. That's just an added benefit for us. 
Brad Nattrass : That's correct.
Brian Wright : That's great. I'll get back in queue. Thank you. 
Brad Nattrass : Thanks, Brian. Appreciate it. 
Operator: Thank you. Our next question comes from the line of Eric Beder with SCC Research. Please proceed with your question.
Eric Beder : Good evening. 
Brad Nattrass : Hi, Eric.
Eric Beder : Hi. So this is -- your backlog is significantly construction now. How should we be thinking about how long those projects take to be realized in terms of revenue versus the other pieces of the segment? And how should we be thinking about the margins for those pieces going forward?
Brad Nattrass : Thanks, Eric. As for the time line, it does vary. On the commercial projects, six to nine months, depending on the size of the project. On the CEA side, it's the Design-Build of facilities and as we say, 18 to 24 months there. But it's -- I'd like to also make clear those -- that backlog for Design-Build doesn't really include any future equipment contracts, and it doesn't include any of our Professional Services contracts either. So those are I don't want to call them gravy, but those are additive. And so the backlog now is a good indication of what to expect in the future. As for margins, when we look at the Design-Build side. If urban-gro is doing the full Design-Build, that means we're outsourcing and running the GC through urban-gro. We don't have -- we're not a GC. We don't swing hammers. But that would run through urban-gro, so we maintain that single point of control, so we can deliver the facility in the lowest time frame possible to the client.  In that case, the construction side is only going to be about 6% to 10% margin depending on the size of the project. But that is then brought up with the sales of equipment and also the high-margin 60% plus Professional Services side as well. So blended, our target on a large Design-Build of a commercial CEA facility, we'd be 18 to 24 months, and the blended margin would be somewhere right around 10%.  So what you're going to see, Eric, as a result, in future quarters is you're going to see a strong increase on the revenue side, but you are going to see -- we're going to look at it as margin dollars because you will see -- begin to see a decrease in the overall gross profit as those revenues drive up substantially.
Eric Beder : Perfect. When you look at Europe, I know you just started ramping up there. Are you more or less excited when you started out putting into it? And where do you think it goes given that now we're hearing that potentially Germany might do recreational cannabis and other countries there?
Brad Nattrass : Yeah, Europe, it's an interesting market. In the Middle East right now, food is extremely strong, traditional horticulture. In the European market, because of the price of energy, it's raising significantly multiples. That market in terms of food, it's going into a little bit of a downturn for sure.  For urban-gro, the cannabis side in Europe right now is definitely our strength. We have with Germany opening up and the fact that not only are they opening up, they're going to be building facilities in country and not importing. In the past, Germany look to Canada and other countries to import their cannabis.  So absolutely an increase in demand there. urban-gro right now is also working in Portugal, Greece, The Netherlands, the United Kingdom and also Israel. I'm missing a couple there, but -- Macedonia as well. So there's strong demand, and we've seen that demand increase over the last couple of months.
Eric Beder : And finally, here in the U.S., when you look at the industry, obviously, Q3 was a tough quarter. Who is driving or what is driving the demand to come back to somewhat normalized levels in terms of -- are we seeing -- are you seeing -- are people more optimistic that some of these states are going to come back online or get their act together? And how are you seeing looking at that going forward?
Brad Nattrass : The majority of urban-gro's cannabis business is east of the Mississippi, and the results of the election a couple of nights ago, Missouri and Maryland, two states, adult use legalizing, that means licenses will be awarded and therefore, facilities will be built. We're working on less than 10 projects right now between those two states, and we expect that to increase. As the delays in certain states begins to relax, which we anticipate will happen in Q1 or Q2 of next year, the states like New York, some of the delays in -- being experienced in Florida for a variety of reasons, we'll see that open up, and therefore, it's the exact same. Each state is like its own country. And when the state awards licenses, those facilities, those dispensers, they will be built. And urban-gro, because of the strength right now of our non-CEA division, the commercial division, we're aggressively staffing up.  So we'll have the team ready, 150 employees today and growing, we'll have the team ready to supply them. Another one there, I'll add in is New Jersey. New Jersey is in its growth mode right now.
Eric Beder : Okay. Congrats and good luck for the holidays. 
Brad Nattrass : Thank you. Thank you too, Eric. 
Operator: Thank you. Our next question comes from the line of Thomas McGovern with Maxim Group. Please proceed with your question. 
Thomas McGovern : Hey, guys. Thanks for taking my question. I just have a couple just questions to follow up on some of the stuff you touched on. So firstly, on the development of your teams, kind of looking at how you guys have been successful with diversification. I just want to get an understanding of, as you're building up your teams, how are you kind of looking at it like breaking down individual members pursuing cannabis-related in CEA versus non-cannabis, some of those diversified channels? And also on top of that, how are you looking at approaching -- searching for contracts domestically versus internationally?
Brad Nattrass : As for the team, we don't look for CEA-specific expertise at this point. We've worked bottom-up in each division. We look at that backlog, for example, and then we look at our strong pipeline and time out when we expect that pipeline to convert to additional backlog.  Then we have it down to a formula, X amount in backlog and a discounted X amount in pipeline equals we need to hire this many individuals. So we've -- working remote has absolutely helped, Thomas, because we're able to hire people in different locales across the country. At this point, they don't have to be in a specific office. That's really helped us.  And also as we bring new individuals on with the use of a placement firm, we're able to look for some very strong individuals. And when they join us, we have incentives for others to join as well through connections that they have.  But we cross train them, and that's very important for engineers and for architects. It gives them also a little bit more excitement instead of doing -- working on the same type of projects all the time, to work on a hotel or a hospital or a smaller medical facility. For an architect, it's pretty exciting versus a larger box, which contains a cultivation facility. So cross-training's really, really important. And in terms of searching for contracts domestically and in Europe, domestically at this point, we'll either offer full Design-Build where we will offer our services a la carte. And maybe it's just architecture. Maybe it's just engineering or the cultivation design side. But we get to know the client. We get to deliver a high service level to that client.  So they want to come back. And typically, we do a great job, and they then ask, hey, would you like to bid on this part of it? We bring in. It's not about selling anymore. It's more about holding the client's hands, taking them down the path and helping them make decisions, whether it's in equipment or whether it's other services that we offer. In terms of internationally, especially focus on the cannabis side in Europe right now, there's not a lot of facilities that have been built. So there's no large list that you can go look at to find these clients. It's a guerilla marketing. It's grassroots. It's getting out to conferences. We attended, I don't know, about eight to 10 this year in different countries. And so we're focused on having a consultant joined our team full time. And that consultant in Europe had been focusing for two years on helping clients acquire licenses or be awarded license during that process. So it's something different than what we've done in the U.S. market, but it's a lot earlier in the U.S., like where the U.S. was five or six years ago. And so that's helping us bring success as well.  And our social program, we invested this year quite heavily in the social side of our marketing campaign, and it's driving new inquiries and opportunities through our website. So word of mouth on a much more established market in the U.S., and we're having to go a little more guerilla and grassroots over in Europe.
Thomas McGovern : Great. That was a very thorough and helpful answer. I appreciate that. And then my last follow-up question before I'll hop out of the queue. Could you elaborate a little bit on some of the margin benefits you're seeing or expect to see from the DVO acquisition?
Brad Nattrass : Sure. The contracts, I'll start with commercial. So there's some contracts that they have where they were doing -- handling the construction management side or they were handling the full Design-Build. And they are now giving urban-gro grow the opportunity to bring in our architects or bringing in engineers, for example, with -- now with DVO.  And it's just getting a shock. That's all we look for. Just get to the dance and then let our quality, the quality of our team and their leadership, let's let them be able to convince or show the client why we're a good solution. So there's multiple opportunities on that side.  In the cannabis space, it's the same thing, a little bit more reverse, strong relationships on the design side and architecture and engineering and for us to be able to say, hey, we want that single point of responsibility. So one individual or one company to focus on to deliver a high expense decline, if something goes wrong, we're there to fix it immediately. And so we're bringing in Emerald in that case to meet with those clients.
Thomas McGovern : Great. Thank you again for taking my questions. And Congrats on the strong performance this quarter.
Brad Nattrass : Thanks, Thomas. I appreciate it.
Operator: Thank you. Our next question comes from the line of Aaron Grey with Alliance Global Partners. Please proceed with your question. 
Aaron Grey: Hi, good evening. And thanks for the questions. So first one for me, I just want to go back to some of those open positions you mentioned, and you gave some pretty good color on the question before. But I just wanted to assurance because I know human capital is really important for you guys. So is there any risk to that's kind of creating a bottleneck? I know you're looking to do some cross-training, and also higher 20 more. So do you feel confident in your ability to find those qualified personnel to fill those slots before creating some type of bottleneck in terms of you guys being able to deliver or have to delay some of the products you guys have going? Thank you. 
Brad Nattrass : Thanks, Aaron. I appreciate it. So first and foremost, we did start using job placement firms as opposed to hiring internally, multiple firms in that area and firms that are specialized. It does help, we removed that requirement to work in one of the offices, so that's helped us access individuals in different markets where there could be a slowdown. And so individuals are open to work. Houston market, DVO, 24-person firm have the ability to office close to 60 in their offices right now. So we've found there's a great strong labor pool in Houston in that surrounding area, and so it doesn't have to be just engineers. There will be engineers, architects, construction individuals in that office there.  So looking at different locales has really helped. As well we have eight offices in the U.S. now. So we're putting together efforts around each of those offices and using outside firms. I'm not worried about the bottleneck on the high Design-Build portion of our backlog. It's not like services where it starts immediately. It's over 18 to 24 months in the CEA side, and as I mentioned, to six to eight months, so roughly on the commercial side. So we have time there.  So it's architects and engineers that we have to make sure are ready. And then on the construction side, it's site superintendents and project managers. And those are hot roles right now in the U.S. economies, but we're doing everything we can to secure high-quality talent quickly.
Aaron Grey: Thanks, Brad. That's really helpful. Second question for me, now with the election past us outside of a few possible states still going. SAFE Banking is obviously in a lot of people's minds think of the past by end of year. I just want to get your commentary again in terms of potential impact that could be for you guys in urban-gro. Obviously, hopefully, bring some more capital into the industry even though you're uplisting. It's still uncertain for plant-touching.  I know you sit on the Cannabis Roundtable. So any thoughts you might have now that we're kind of in that -- coming to that lame-duck session in terms of what might be included, chances of being passed by end of the year and potential impact for urban-gro? Thank you. 
Brad Nattrass : For sure, in case the impact, it's being ready to design, build or provide the architecture engineering and cultivation design services for the clients. So when they're ready and they are funded, we will be there to support the clients. In terms of the NCR and board meeting -- not the official board meeting. But there was a call today with the NCR. It's sort of the state of flux now, even with the election almost 48 hours now complete, but still confidence level of greater than 80% of today's crops are safe in one form or another will pass in this session before the end of the year.  I believe it will allow for banking for the single state and multistate operators. We had hoped it would provide the ability for the MSOs to uplift to larger exchanges or to attract institutional investment. I don't think now that that's going to happen in the next -- at least by the end of the year or in the next quarter or two. But the key is just, from a banking standpoint, allowing them to access more funds and at stronger rates for them.
Aaron Grey: Okay, great. Really helpful color there. And I'll go and jump back in the queue. 
Brad Nattrass : Thanks, Aaron. Appreciate it. 
Operator: Thank you. Our final question comes from the line of Brian Wright with ROTH Capital. Please proceed with your question. 
Brian Wright : Thanks. I just wanted to talk a little bit about the progress with getting the end-to-end kind of contracts. Like just kind of -- I know that's a process, and you recently closed and rolled, but and it may be too soon to be thinking about that. But I mean is there anything in the backlog that's kind of along, a step in that direction or anything to think about there?
Brad Nattrass : Yeah, Brian, from the cannabis side of CEA, there is a large full Design-Build of a cultivation facility and four dispensaries in that backlog. But we have about 10 other Design-Build contracts in the cannabis space the -- potential, sorry, contracts in the cannabis space that we're working on. Many of which were depending on the legalization of the specific states passing or securing their financing.  And so that's all positive developments for those and that potential for urban-gro with what happened in the election a couple of nights ago. In the food side, Brian, of CEA, we continue to sign multiple contracts per month with the large food-focused vertical farms and indoor CEA greenhouses.  But it's not Design-Build at this point. And it will be very interesting to see when we have the opportunity from Design-Build in food vertical farming in the U.S. We love working with them. We're building our credibility. We're solving problems. Typically, it's environmental and we're helping with mechanical systems where we're helping with just providing guidance and solving issues that they encounter on a day-to-day basis.  But we'll be ready when the opportunity presents itself. The key to vertical farming, of course, is efficient use of energy and the efficient use of water. And there's a lot of study, index study going on globally right now in both of those areas. And the second is the automation, how you move the crop around the facility. And that, too, very early, and there is probably a handful, six, 10 companies in Europe and the U.S. that are working on that.  So it's all about efficiencies. CEA food is early on vertical farming. We feel we're in at the forefront. We have the right partnerships. And we have the right employees that we're hiring that have the knowledge to help our clients. I mean, we'll finish off with, we have the right board member. And Sonia Lo was CEO of Sensei Ag most recently and before that, Crop One has a tremendous vision of growing in urban areas in controlled environment ag environment and it's helping urban-gro build a really good brain trust that will help take our clients to the next level.  So we're becoming that trusted partner from a services level to our clients, exactly what we've just set out to do.
Brian Wright : Great. Thank you. 
Brad Nattrass : You're welcome, Brian. Thank you. 
Operator: Thank you. That is all the questions we have for today. Please reach out to investors.urban-gro.com with any additional questions. I will now turn the call back over to Mr. Nattrass for closing comments.
Brad Nattrass : Thank you, Michelle. I appreciate it. In closing, everyone, thanks for chiming in today. But in closing our sector diversification strategy, it's working. The acquisitions that we've made continue to prove to be immediately synergistic and accretive to the company. And our Professional Services and Design-Build model that we've been building since we listed on the NASDAQ and completed our raise over 18 months ago is executing as anticipated. And of course, all of this is supported by that record backlog of $67 million at the end of the quarter and growing. We've got strong momentum in Q4, and we're very confident as a company that's going to carry into 2023. And therefore, we are in growth mode. We're focused on scaling the company to service this demand, as Aaron said, eliminating any chance of bottlenecks as we go, and we'll be ready for 2023.  So thank you very much for your interest, your ongoing support, and have a wonderful evening.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation. And have a wonderful day.